Operator: Good afternoon. Thank you for attending today's GoPro Third Quarter 2024 Earnings Call. My name is Cameron, and I will be your moderator for today. All lines will be mute during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to your host, Christopher Clark, Vice President of Corporate Communications. You may proceed.
Christopher Clark: Thank you, Cameron. Good afternoon and welcome to GoPro's third quarter 2024 earnings conference call. With me today are GoPro's CEO, Nicholas Woodman; and CFO and COO, Brian McGee. Today's agenda will include a brief commentary from Nick followed by Q&A. For detailed information about our third quarter 2024 performance as well as outlook, please read our Q3 2024 earnings press release and the management commentary we've posted to the Investor Relations' section of GoPro's website. Before I pass the call to Nick, I'd like to remind everyone that our remarks today may include forward-looking statements. Forward-looking statements and all other statements that are not historical facts are not guarantees of future performance and are subject to a number of risks and uncertainties, which may cause actual results to differ materially. Additionally, any forward-looking statements made today are based on assumptions as of today. This means that results could change at any time and we do not undertake any obligation to update these statements as a result of new information or future events. To better understand the risks and uncertainties that could cause actual results to differ from our commentary, we refer you to our most recent annual report on Form 10-K for the year ended December 31, 2023, which is on file with the Securities and Exchange Commission, and as updated in filings with SEC including the quarterly report on Form 10-Q for the quarter ended September 30, 2024. Today, we may discuss margin, operating expense, net profit and loss, adjusted EBITDA, as well as basic and diluted net profit and loss per share in accordance with GAAP and on a non-GAAP basis. A reconciliation of GAAP to non-GAAP operating expenses can be found in the press release that was issued this afternoon, which is posted on the Investor Relations' section of our website. Unless otherwise noted, all income statement related numbers that are discussed in the management commentary and remarks today, other than revenue, are non-GAAP. Now, I'll turn the call over to GoPro's Founder and CEO, Nicholas Woodman.
Nicholas Woodman: Thanks Chris and thanks everybody for joining us today. Today Brian and I will share brief remarks before going into Q&A, and I want to encourage all on the call to read the detailed management commentary we posted to our Investor Relations Website. In Q3, GoPro exceeded guidance with revenue of $259 million. Subscription and service revenue grew 11% year-over-year to $27.5 million, primarily driven by ARPU growth of 9% and overall subscriber growth of 2%. EPS was breakeven on a non-GAAP basis and EBITDA was $5 million, a $39 million improvement sequentially. Despite these directionally positive Q3 results, this continues to be a challenging year for GoPro as we navigate global macroeconomic headwinds impacting consumer discretionary spending, the previously mentioned delay of our new 360-degree camera, and competition. While GoPro welcomes fair competition as it encourages innovation and fosters a vibrant market for consumers, the principles of fair competition are not served by companies that seek to profit from the hard work, investment and innovation of others. We will litigate in the interest of protecting our inventions and we understand the time and costs associated with defending our IP. GoPro has invested substantial time, effort and money into a culture of innovation over the past 20 years, researching and developing leading edge technologies that have enabled new ways of capturing and new categories of cameras. Whether that's being the first to enable ultra wide angle perspectives in consumer cameras, inventing market leading in-camera video stabilization or pioneering convenient 360-degree capture. This culture of innovation has allowed us to build a patent portfolio consistently recognized by industry experts for its quality, depth and variety. Our patent portfolio is in place to protect our inventions and IP and we are committed to taking action to protect these assets when necessary. Earlier this year we filed a complaint with the U.S. International Trade Commission and a lawsuit in the U.S. District Court for the Central District of California against one of our competitors with the goal to enforce certain GoPro patents related to our cameras and digital imaging technology. Again, GoPro welcomes fair competition, but we will litigate to protect our IP when we believe it is being infringed. As we shared in our Q2 earnings, the consumer digital imaging market is growing, driven by new products catering to consumers growing interest in alternative forms of capture beyond the phone. We are seeing growth in the action camera market, 360-degree cameras and other new types of cameras. We believe our product roadmap positions us to participate in these growth areas and more. To better position ourselves to participate in this growth as a profitable company, in 2025 and beyond we've taken a more aggressive approach to reduce 2025 operating expenses significantly below what we shared on our last earnings call. We are now targeting 2025 operating expenses of $250 million, a reduction of approximately $110 million from 2024. I want to be clear we are not cutting our way to profitability. We are changing our approach to operate in a leaner, more focused manner that we believe will be sustainable and strategic for long-term success and improved financial performance. We are reducing our operating expenses to the lowest level since before going public while pursuing a product roadmap we believe will drive innovation, differentiation and growth. In September we launched two new products. Our flagship HERO 13 Black is loaded with leading-edge technology, performance and convenience that includes a suite of innovative new Lens Mods that massively enhance a user's creative potential. We also launched our new entry-level camera, the tiny HERO camera. Priced at $199, HERO is our most affordable camera, making it ideal for travelers, creators, families, kids, adventure seekers and gift givers looking for the simplest, lightest 4K GoPro. And importantly, HERO has been newly designed from the ground up to yield a better profit margin than our previous entry level cameras. And we continue to execute on the global retail expansion strategy we announced in May 2023, having added approximately 6,300 new doors since then, bringing our total doors to over 25,000. In Q3, we added more than 1200 doors globally, including approximately 500 Sam's Club stores in the U.S. Expanding our global retail footprint to this level not only allows us to reach more consumers with our current products, but also serves as an important foundation for future launches as we expand our product offerings. In summary, we are working through our business challenges and feel good about our go forward strategy. We are reducing 2025 operating expenses to the lowest level since before going public while pursuing a product roadmap we believe will drive innovation, differentiation and growth. We are excited to operate GoPro in a leaner manner as we believe it will yield better execution, efficiency and improved financial performance. Now I'll pass the call to Brian to share some details on our financials and outlook.
Brian McGee: Thanks Nick. I'd like to first share some notable business highlights. In Q3 subscription and service revenue grew 11% year-over-year to $27.5 million, primarily from 9% ARPU growth driven by improving our aggregate retention rate which was up 4% year-over-year to 67% as well as growth of our Premium+ subscribers. Also in Q3, subscribers grew 2% year-over-year to 2.56 million including 54,000 Premium+ subscribers and subscription attach rate from cameras sold across all channels was 45% in-line with prior year attach rates. Third quarter EBITDA was positive $5 million, a $39 million sequential improvement. For the second half of 2024 gross margin is expected to be 36% 1850 basis point improvement year-over-year as we had outlined in the first half of 2024. Turning to the balance sheet, we expect cash to be approximately $125 million at the end of the year. We recently conducted a restructuring to reduce operating expenses by $110 million to approximately $250 million in 2025, down from $360 million in 2024. Looking ahead to 2025, we expect unit and revenue to be lower than 2024, primarily driven by macroeconomic headwinds, competition and the delay of our new 360-degree camera, which we expect to launch in 2025. We anticipate Street ASP to be in a range of $335 to $345 in 2025, a 5% improvement over 2024. We expect gross margin to improve from 34% in 2024 to a range of 35% to 36% in 2025. We expect our operating expenses to be between $245 million and $255 million as a result of the 26% reduction in headcount and other expense reductions taken in 2024. This represents an annual reduction of $110 million from projected 2024 spending and represents the lowest level of operating expenses since before becoming a publicly listed company. In addition, our Expectation is for first quarter of 2025 operating expense level of approximately $60 million or down nearly 30% year-over-year. We believe this annual level of spend enables us to pursue a diversified and innovative roadmap that we believe will extend GoPro's leadership in the markets we serve and restore unit and revenue growth in 2026. In summary, as we work through our business challenges, we are adjusting GoPro's operating model to be more efficient to yield improved financial results. We are excited about 2025. We expect to launch new products while preserving cash to repay our debt and importantly, position ourselves for profitability in 2025. Operator, we are now ready to take questions.
Operator: [Operator Instructions] The first question is from the line of Martin Yang with Oppenheimer. You may proceed.
Martin Yang: Thank you for taking my question. My first question is about the mitigation. What do you consider as the ideal outcome of the U.S. ITC investigation?
Nicholas Woodman: Hi Martin, thanks for that. The litigation is to defend our IP, which we believe is being infringed. And I would say -- what I can say is the ideal outcome is that the ITC would recognize this infringement, would recognize and validate the validity of our patents and our IP, and that any products that are being sold into the United States market, that are infringing, sold in by the company in question that they would no longer be able to sell those products into the United States market.
Martin Yang: Got it. And is there any timeline or expected date for the investigation to conclude?
Nicholas Woodman: We expect in general terms a conclusion in 2025.
Martin Yang: Got it. Thank you. My next question is on the 2025 outlook. If you were to rank the different headwinds you outlined, what would be the most impactful to the 2025 outlook will it be the least impactful? And how do you reconcile the number of retail doors that you have grown over the year to that reduced outlook?
Brian McGee: Maybe I'll start and Nick, you can come over the top. Macroeconomic is probably one of the biggest we're seeing that here in the U.S. China in the third quarter was down significantly. As a market they're having their issues. We finally saw a little bit of sliding in Europe. Europe has been a stronger market for us followed by, you know, we have to get our new 360 camera out margins, so that's a growth, that's a market that's growing. You see that across Turkana [ph] and GfK. So we need to get that product in the market and resume selling and of course there's competition. So I would kind of put them in that order. We've got to get products out into the market.
Martin Yang: Got it. My final question on competition, do you see most of the share erosion happening on the 360-degree camera category or do you see more happening for the main camera, the action camera category?
Brian McGee: Well, I'll take. Sure you go ahead.
Nicholas Woodman: Yes, I would say that the action camera category one is actually growing slightly and we're seeing, if you think about Alternative Capture 360, it's definitely been a growth category. Again I'll reiterate, that's why we need to get a product back in the market. And there are other forms of capture that are growing as well, particularly in blogging. So those are areas of opportunities for us to grow into those markets.
Brian McGee: Yes, I would say the biggest share hit Martin is in 360. Due to the delay of the launch of our new camera, we are seeing some share erosion in the HERO camera category, action category as well. The biggest revenue impact though is coming from us not launching our MAX 2 360 camera. And as it relates to reconciliating the new door growth globally with sell through and some of the challenges that we're facing, be it macroeconomic not having launched our 360 camera or some competition, I'd say that while we're really excited about the 25,000 plus doors that we're in now, and all of the new merchandising that's gone out, it's obviously very helpful. But when we don't have our full suite of products out in the market, then obviously we're not fully exploiting that retail network and that really strong in-store presence. So while that's something that's hurting us in 2024, that's something we believe is going to help us in 2025 when we get our full suite of new products out, including MAX 2 in 2025. So unfortunately, we're not realizing the full benefit of the 25,000 plus doors today, but we expect to realize the full benefit in 2025. So there are a number of positive factors that we believe are going to contribute to a stronger 2025. That 25,000 plus door count that will continue to grow, the launch of new products to fill those doors, including our new 360 camera MAX 2 and more. So, quite a bit to look forward to, but yes, there's no denying that we've got a bit of a path between here and there.
Martin Yang: Got it. That's it from me. Thank you, Nick. Thank you, Brian.
Nicholas Woodman: Thank you, Martin.
Operator: There are currently no questions registered. [Operator Instructions] There are no additional questions waiting at this time. I would like to pass the conference over to the management team for any closing remarks.
Nicholas Woodman: Thank you, operator. Well, thanks for joining the call today, everybody. I'd like to remind everyone that while we are facing some business challenges, we're actually quite excited about the future. The OpEx reductions that we've made and the OpEx target that we have in 2025 of approximately $250 million is a sustainable, strategic effort to operate GoPro in a much leaner, more efficient and more effective manner that we think is not only going to help improve execution and yield better financial results, but we're confident that it's going to enable us to continue to drive innovation, differentiation into our product roadmap to allow us to participate in the growth that we're seeing in the digital imaging market. Our market opportunity is in what we consider alternative capture cameras; that is cameras that go beyond the capabilities of the phone, go beyond the capabilities of traditional cameras. And our innovations in product development is really focused at helping people capture, document their lives, their experiences, either for personal enjoyment, for their careers, for professional commercial purposes, in ways that just simply would be convenient with a traditional phone or a camera and these categories of cameras are growing. The proliferation, be they as standalone cameras or cameras that are embedded into other devices or equipment or gear or vehicles, is growing. And GoPro's tech stack, expertise and brand are uniquely well positioned for us to develop as an enabler of these types of capture use cases. Historically, we've been known as the HERO Camera company, and while that's been terrific for growing our business and our brand over time, it's a subset of what GoPro is capable of. It's a subset of what our product development and engineering teams are capable of. It's a subset of what our existing distribution is capable of getting in front of consumers. And ultimately it's been a subset of the greater opportunity for our brand and business to exploit all of the incredible people, the incredible talent, the incredible technology that we've developed over the years, including, as I mentioned, the incredible patent portfolio that we have that we're now defending and will put to use going forward in new ways. So the opportunity ahead is very significant for us. We've moved through the challenges of 2024, and we're really looking forward to executing in 2025 as a leaner, meaner organization that's really focused on efficiency and execution in the process of getting out exciting new products that we believe are going to help us grow our business. So while these are challenging, this is a challenging, immediate moment in GoPro history, we're really looking forward to the changes that we've made in the business and putting those changes to use in a more efficient operating model in 2025. So with that, thank you everybody for joining today's call. We're looking forward to our next one with you at the beginning of next year. And until then, this is Team GoPro signing off.
Operator: That concludes the GoPro third quarter 2024 earnings call. Thank you for your participation and enjoy the rest of your day.